Operator: Ladies and gentlemen, thank you for standing by and welcome to the U.S. Steel Third Quarter 2013 Earnings Conference Call and Webcast. At this time all participants are in a listen-only mode and later we will conduct a question-and-answer session with instructions been given at that time. (Operator instructions) And as a reminder, today’s conference is being recorded. I’d now like to turn the conference over to your host Mr. Dan Lesnak, Manager of Investor Relations. Please go ahead sir.
Dan Lesnak: Thank you, Kelly. Good afternoon, and thank you for participating in United States Steel’s third quarter 2013 earnings conference call and webcast. For those of you participating by phone, the slides that are included on the webcast are also available under the Investors section of our website at www.ussteel.com. On the call with me today will be U.S. Steel President and CEO, Mario Longhi and Executive Vice President and CFO, Dave Burritt. Following prepared remarks, we will be happy to take your questions. Before we begin, I must caution you that today’s conference call contains forward-looking statements, and that future results may differ materially from statements or projections made on today’s call. For your convenience, the forward-looking statements and the risk factors that could affect those statements are referenced at the end of our release and are included in our most recent Annual Report on Form 10-K and updated in our Quarterly Reports on Form 10-Q in accordance with the Safe Harbor provisions. Now to begin the call is U.S. Steel Executive Vice President and CFO, Dave Burritt.
David B. Burritt: Thank you, Dan. Good afternoon, everyone and thank you for joining us. We reported income from operations for our reportable segments and other businesses of $113 million and improvement from the second quarter and our seventh consecutive quarter that we have been profitable at the segment level. As a result of our annual goodwill impairment testing, we told you October 18 we expecting to record a non-cash charge of about $1.8 billion representing the full amount of a goodwill on our balance sheet from our 2007 acquisitions of Stelco and Lone Star Technologies. Excluding this charge, our net loss for the third quarter was $20 million or a loss of $0.14 per share. The third quarter is U.S Steel’s six out of the last eight quarters of losses per share. We all know we must do better and I can assure you that the entire leadership team feels the same way. Before Mario shares the progress on project Carnegie, Dan will provide additional details of our third quarter segment results.
Dan Lesnak: Thank you, Dave. Our Flat-rolled segment results from operations improved versus the second quarter due to an increase in average realized prices and lower repair and maintenance costs partially offset by reduced shipments. Average realized prices increased compared to the second quarter due to higher spot market prices. Shipments decreased by 300,000 tons due to a plant blast furnace outage at our Great Lakes Works and the Lake Erie Works labor dispute which idle that facility for the entire quarter. A successor labor agreement was reached in August with blast furnace production at Lake Erie Works resuming in October. Third quarter results for our Tubular segment were comparable to the second quarter. Shipments in average realized prices increased slightly primarily due to a higher percentage of alloy and seamless shipments. Operating costs increased due to higher repair and maintenance costs from plant outages at several of our Tubular facilities. Third quarter results for European segment decreased compared to the second quarter as a scheduled blast furnace outage resulted in significantly lower shipments and increased facility, repairs and maintenance costs. And average realized euro-based prices were comparable to the second period – second quarter, sorry. Turning to cash flow, we generated $177 million from cash from operations, excluding the $140 million voluntary contribution we made to our main defined benefit pension plan in the third quarter. Our capital spending remained at a level consistent with the first half of the year as we continue to manage capital spending in line with our internal cash generation, resulting in free cash flow of $264 million in the last 12 months. We currently expect our capital spending will be approximately $530 million for the full year. We ended the third quarter with total liquidity of just over $2.4 billion, which includes $697 million of cash on our balance sheet. Now I’d like to turn the call over to U.S Steel President and CEO, Mario Longhi to discuss the strategic initiatives and projects that we’re pursuing.
Mario Longhi: Thanks, Dan. Good afternoon, everyone. As most of you’re aware, this is our first quarterly earnings call with the current management team. And I’m encouraged by the potential of combining some new perspectives and ideas with the outstanding level of knowledge and experience that exist throughout our organization. And I believe we can fully leverage all of this talent to achieve the results we need to create real and lasting value for all of our stakeholders. As I have described it previously, project Carnegie is a value enhancement initiative that will create sustainable improvements on both the cost and revenue sides of the business. And therefore position us to be profitable regardless of market conditions. This is a very disciplined and complex process and a key is sustainability. Well some of our opportunities can be realized quickly, others will take longer to identify and implement. We are focused on the creation of long-term value. We have initiated several actions and projects that I would like to discuss now. Some level have an impact in near-term and some that will require some additional time for us to realize their full benefits. We have decided to permanently shutdown the iron and steel making operations at Hamilton Works on December 31, 2013. We will record a non-cash charge in the fourth quarter of approximately $225 million to write-down this assets. Decisions like this are always difficult, but they’re necessary to improve the cost structure of our Canadian operations. This action will result in a sustainable improvement in our cost structure of approximately $50 million per year and reduce our cash needs of these facilities by approximately $25 million per year. This reduction in our total steel making capability also improves both our iron ore and coke balance and allows us to take additional actions. We are seizing operations at two of our oldest highest cost and maintenance in capital intensive coke batteries at Gary Works, resulting in an improvement in our average coke costs and eliminating future maintenance spending and capital investments needed to sustain operations at these batteries. Also as we discussed in the past, we had two contractual commitments to purchase certain annual minimum volumes of iron ore. The first of these contracts expire at the end of 2013 and the second expires at the end of 2014 and we will not be replacing either of these contracts. On the finishing side of our operations, we have agreed with our partner Double Eagle Steel Coating Company to dissolve the center as there has been a significant decline in the market demand for electro galvanized products and a shift towards hot dip coated technology. After a thorough review of the business strength and conditions, it was concluded that the economic viability of the electro galvanized production at Double Eagle could no longer be maintained at an acceptable margin. We are in the process of moving volumes from the joint venture to our own facilities including transitioning customers to alternative products that serve their needs while providing us with an appropriate return for the material, customer service and technical support we provide. We are projecting a $20 million annual improvement in our margins by bringing these volumes and customers into our existing facilities. These actions, which I emphasize, represent just the beginning of our project Carnegie efforts, will result in sustainable improvements to our operating results in excess of $75 million annually. We continue to work on many fronts and to make progress on additional projects that while not easily quantifiable at this time will ultimately provide sustainable improvements to our cost structure and margins. Our iron ore assets provide significant opportunities and we’re focused on improving our ability to effectively convert those opportunities into value for all of our stakeholders. We’ve been implementing process improvements at our Minntac operations that are improving our yields and costs, while -- and while this has afforded us the opportunity to utilize our own iron ore at our European operations when market conditions are appropriate. It also positions us to pursue the longer term objective of using our own iron ore resources to benefit from the low cost natural gas market in North America by incorporating direct reduced iron or DRI into our operations and cost structure. We’ve concluded the testing phase of our work at Minntac and have determined that with the appropriate investment in process and facility improvements we can produce DRI quality pellets and we’ve advanced to the engineering phase in order to define a specific timeline and investment requires to commence production of DRI quality pellets. In addition to improvements on the cost side of our business, we need to enhance our ability to meet the increase -- increasingly complex and evolving product requirements of our customers to keep steel as the material of choice and position ourselves as the supplier of choice. The U.S. automotive market is a strategic priority for us and at our PRO-TEC automotive joint venture, we continue to qualify products from our new continuous annealing line for the automotive customers as we provide a cost effective and environmentally sound solution for meeting the CAFE and safety standards for future vehicles. The project to expand the size range of our small diameter pipe mill at our low range tubular operations is on track and when completed it will allow us to more effectively load our facilities as markets such as the Deepwater Gulf of Mexico continue to grow and unconventional shale plays are developed. I’d like to emphasize that the projects and initiatives I covered here today represent only a small piece of the total scope of project Carnegie. We are pursuing sustainable improvements across all of our business functions including administrative, commercial, procurement, logistics and outside services to ensure that they are adding appropriate value to our bottom line. Our total annual spending in these areas is in the billions of dollars and we’ll continue to update you each quarter on new projects and initiatives as they’re developed, become ready or are implemented. I’d like to turn the call over to Dave for a few additional comments on value creation and shareholder returns. Dave?
David B. Burritt: Thank you, Mario. Since I joined U.S. Steel on September 1, Mario has been very clear on five priorities he wants me to focus on to help transform U.S. Steel to sustainable profitability. Obviously, I’m just getting started and need to move faster on this. Number one, macro business strategy; two project Carnegie value creation; three business measurements and motivating greater sense of urgency; four investor communications and five reducing complexity and streamlining business processes. We’ll have the due diligence phase of our macro business strategy completed this quarter. The last thing we need right now is to start wordsmith in a new vision and mission statement, instead we’re intensely focused on Project Carnegie, chartering projects to add value, to get leaner faster, right size, improve our commercial capabilities and as Mario keeps telling all his leaders, we must earn the right to grow. We'll define and exploit our sustainable competitive advantage and focus the business on our core strengths. We know everybody wants us to give them a Project Carnegie target of how much money we're going to make, by when. We won't do that. Sure, we have big aspirations but we'd rather be judged on the numbers we deliver than be distracted by spending a lot of time communicating our aspirations and a target right now. We'll be working to develop business measurement. You understand how economic profit works. Return on capital must exceed weighted average cost of capital. We have not created economic profits for our shareholders for five years. You're not happy. We're not happy. That's not acceptable. We've got to fix the business. In order to be a good company we have to deliver economic profits and we are creating incentives and developing a balanced score card that motivates behavior to generate more cash. We have a lot of cost takeout to do. We will move deliberately, intentionally and each and every day to make tough decisions for actions in place to win. As we transform our business, we'll be communicating with investors more about our strategic ambitions, not financial targets but instead getting you comfortable with where we will focus our efforts and you can judge us on what we deliver. We expect investors to reward us when we exceed expectations and punish us when we don't. We know investors will. We're using Six Sigma methodologies as part of our Project Carnegie to examine all aspects of our business as we reduce complexity, streamline our business processes and focus on our core businesses, we create more opportunity to go beyond cost reduction and earn our right to grow. Mario thanks for asking me to join the U.S. Steel team. I wouldn't have come to U.S. Steel if I was not confident in your leadership. I look forward to better days. I know you want to cover the markets and the fourth quarter outlook before the Q&A, so I'll turn it back to you.
Mario Longhi: Thanks, Dave. The overall Flat-rolled supply chain in North America is in the healthiest position it has been at this time of the year since the economic recovery began. In recent years, market sentiment at this time had typically been turning negative but as we look to close out 2013, we're experiencing a market that has a different feel to it. Since early 2012, lead times across most of the North American mills have been shorter than what most would consider normal. And we have seen cautious order entry patterns from spot market buyers at a time when end users are continuing to retch up their consumption rates, resulting in lower inventory levels in North America. While this may result in some opportunities that we can capture in the near term, an industry capacity utilization rate of less than 80% still suggests that many cycles are possible and we are positioning ourselves to have a book of business which allows us to profitably navigate these cycles and still be poised to maximize what the market will give us during the peak periods. Tubular market drivers during the third quarter were mostly positive, led by strong oil direct drilling in the U.S., supported by rising crude oil prices and increased drilling in the Gulf of Mexico. The U.S. natural gas directed rig count improved quarter-over-quarter but remained near its lowest level in over 14 years and the Canadian rig count increased quarter-over-quarter as a result of operators returning to the oil patch after the seasonal downturn due to the spring break. In the U.S., drilling operators continue to improve efficiencies through the deployment of multi-well pad drilling and as a result, an average U.S. land rig was able to drill 5.37 wells during the third quarter, an increase of 9% from the fourth quarter of 2012. Total apparent demand for OCTG increased quarter-over-quarter by 5% to 1.77 million tons. Domestic OCTG shipments increased by 3% from the previous quarter while imports led by Korea increased by 7%. In August, the International Trade Commission voted affirmatively that the U.S. OCTG industry had been or was likely to be injured by unfairly traded imports. The Department of Commerce is scheduled to determine preliminary countervailing duties on the subject countries in December. Preliminary anti-dumping duties are expected in February 2014. Now turning to our outlook for the fourth quarter. We expect total reportable segment and other business income from operations to decrease compared to the third quarter. Fourth quarter results for our Flat-rolled segment are expected to be near breakeven. Overall, repairs and maintenance costs are expected to increase by approximately $60 million as compared to the third quarter, due primarily to a reline of a blast furnace at Gary Works and a planned blast furnace maintenance project at Fairfield Works. Despite higher average spot and market-based contract prices in the fourth quarter, we expect average realized prices to be comparable to the third quarter due to a higher percentage of hot rolled shipments in the fourth quarter. Shipments are expected to increase slightly quarter-over-quarter. We expect results from our European segment to improve in the fourth quarter and return to profitability due to higher shipments and lower facility repairs and maintenance costs as a blast furnace outage was completed in the third quarter. We expect average realized prices for the majority of our products to increase compared to the third quarter. However, overall average realized prices in the fourth quarter are expected to decline compared to the third quarter due to a return to a more normal level of hot rolled shipments. Fourth quarter results for our Tubular segment are expected to be comparable to the third quarter as the benefits of reduced operating costs are offset by slightly lower average realized prices and shipments as end users are expected to decrease drilling activity in order to operate within their 2013 capital budgets. Inventory management by our customers may also be a factor as we approach year-end. That completes our prepared remarks, and I will now turn it back over to Dan to start the Q&A session. But before we sign off…
Dan Lesnak: Thank you, Mario. Kelly, can you please queue the line for questions?
Operator: Thank you. (Operator Instructions). We'll go to the line of Luke Folta with Jeffries.
Luke Folta - Jefferies: Hi. Good afternoon, guys.
Mario Longhi: Good afternoon, Luke.
Luke Folta - Jefferies: Congratulations on all this – you've announced here. I guess I'm still trying to take it all in, but I think it's what we've been wanting to see as far as pushing forward some of these initiatives. So congrats there.
Mario Longhi: Thank you.
Luke Folta - Jefferies: I guess that answers a number of my questions. I guess one thing on the pricing side, I wanted just to understand. It seems like everyone's taking a bit of a harder line approach on contract pricing for this year, for next year, that would be for 2014. And I just wanted to – I don't necessarily need you to get specific on it but I guess I just want to understand how big of an opportunity do you think it is to kind of change the way that U.S. Steel thinks about pricing in general and goes about signing contracts with some of these key end markets and OEMs that you sell to? Is that an area you think that there's potential meaningful upside for you going forward?
Mario Longhi: Well, prices are as you know in any shape or form you look at it a direct consequence of market forces. And the market forces are comprised by demand, by capacity utilization and by other dynamics and logistics that certainly impact those things. And in essence for us, the dimension of offering good quality service, a good value to our customers is like a good reason for us to be rewarded for some of these things that we do. So it's never easy to define where these things go, but that's the dimension in which we operate.
Luke Folta - Jefferies: Okay. I guess a follow-up on the cost side. We saw some nice cost improvement sequentially, about $11 a ton lower cost on 300,000 tons of lower shipments which is kind of interesting. Was that pretty much all lower maintenance costs and are we looking at a situation where we've just basically seen kind of a push out of maintenance into the fourth quarter?
Mario Longhi: A meaningful portion of cost improvements certainly come from maintenance, but we have quite a bit of work being put in place as far as reliability being more proactive on some things, addressing quality, processes, stability and control; it's a conjunction of things that under Project Carnegie slowly begins to solidify a better level of operating performance.
Luke Folta - Jefferies: Okay. Thanks a lot guys. I’ll turn it over.
Operator: We’ll go next to the line of Brett Levy with Jefferies. Please go ahead.
Brett Levy - Jefferies & Company, Inc.: Hey, guys. Talk about the pipe business, I mean obviously the case has been filed. Talk about the behavior, initially it seemed like especially seamless pipe was sort of on the way up and yet you’re guiding that the pricing may actually start to come back down again. Talk about your order books going into 2014 in pipe and whether or not you see some upside in pricing maybe in the first quarter?
Dan Lesnak: Brett, I think part of what we see is kind of a normal fourth quarter dip in demand, so that’s going to have its impact on pricing. Some of that in tubular takes a little bit longer to flow through because of the mechanisms, a lot of quarterly mechanisms are negotiated quarterly tight pricing. So, I think from that standpoint that little bit dip in demand, people are trying to rein in, stay within their own budgets, trying to avoid some valorem taxes on yearend inventories. Those are probably the kind of bigger factors that are going to play in the fourth quarter for us.
Brett Levy - Jefferies & Company, Inc.: And then how about just sort of the amount of inventory that’s on the ground in the pipe business, and also sort of the nine countries that are being sort of studied right now. Do you see them in the open market behaving better during this period of scrutiny?
Dan Lesnak: I would say inventories are pretty much in line, maybe a little bit towards the higher end of what we would consider normal, but still and anything less than six months is probably into the normal range. Behavior wise, yes we haven't seen anybody cross the line that would prompt us to go towards the critical circumstances type argument. Nobody's turned that way on us. So I mean Korean imports picked up a little bit less this quarter, but I’d say nothing that really would jump out as being some of this really trying to beat the process.
Mario Longhi: But you know the International Trade Commission voted affirmative six stood nothing that U.S. or CPG industry had been, and I was likely to be injured by unfairly traded imports. I think the investigation will proceed and an affirmative decision should result and import prices reflecting more of a regular market condition versus prices distorted by unfair trade practices.
Brett Levy - Jefferies & Company, Inc.: Thanks very much guys.
Mario Longhi: Sure.
Operator: We’ll go next to the line of Dave Katz with JPMorgan.
Dave Katz - JPMorgan: Hi, I was curious on the Hamilton Works iron and steel making decision if you anticipate any pushback from the Canadian Government?
Mario Longhi: We have engaged the Canadian Government, it's fully aware. We follow every proper procedure and then the legal guidance that is necessary in situations like this. We are very open and engaged with them in this regard.
Dave Katz - JPMorgan: And their early indications are that they would have no issue with it?
Mario Longhi: That really is for you to ask them as they did, we didn’t notice anything.
Dave Katz - JPMorgan: Okay. And then with regard to Minntac and the pellet capacity and capability, understanding that’s early days and you’re looking to understand the timing and the cost, but the indications thus far that you had would that lead you to conclude that the timing and cost will be supportive of you going forward or are you still at the investigative stage where later on you may make the decision not to move forward?
Mario Longhi: Well, the process is -- it has to be very solid. You have to validate for example that you have not just one or two portions of the ore body that are truly capable of sustaining for a long time the conditions necessary in composition in order for you to get a stable production of DRI. And the study so far have revealed that this is the case, our ore body is competent enough for that purpose which ladders them to go to the next level of assessment which process should be the most suitable for us to be able to get into that kind of operation and of course do all the financial analysis required to see if this is something that would deliver a solid sustainable return.
Operator: Thank you. We’ll go next to the line of Sal Tharani with Goldman Sachs.
Sal Tharani - Goldman Sachs: Hi, good afternoon.
Mario Longhi: Hi, Sal.
Sal Tharani - Goldman Sachs: Mario, can we talk a little bit about how to look at your maintenance cost, I mean obviously a lot of these assets are old assets and you’re doing some stuff to reduce it. So how to look at it over the full-year on a normalized basis, what kind of cost goods; this thing sort of moves around dramatically from quarter-to-quarter, but you mentioned $75 million of cost improvement, but just look at in the fourth quarter flat-rolled alone will absorb $60 million of maintenance cost. I just want to understand how to look at it on a full-year basis for your overall business?
Mario Longhi: Well, we can give you -- I don’t have in front of me the full schedule for every blast furnace repair that we have in front of us. But we certainly can give you an indication of when is it that we are planning to do them, and the improvements that you find here are designed for longevity. It's really not something that you can in one year sort of detect a significant progress. And then that’s where some of these different looks at alternative forms of operating EAFs coming into play, will that give us more flexibility, how would we tie some of that to the strategy of blast furnace repair, is it that all of that’s sort of being considered at this point. But for your guidance, Dan can give you later on sort of what we’re designing for the repair and maintenance for next year.
Dan Lesnak: And Sal, if you go back to a couple of quarters we kind of had the thought that, we were catching up from some of those years where we tried to avoid spending money and when things were at the lowest. ’12 and ’13 probably are pretty similar and they’ll probably be on the higher end especially now that we’re going to have somewhat some fewer facilities to worry about particularly some older coke batteries we don’t need to take care of. That will probably continue our thoughts that ’12 and ’13 will probably going to be the high watermark. It's still going to be pretty lumpy quarter-to-quarter just by the nature of a big project can really move the dial that much at one time.
Sal Tharani - Goldman Sachs: All right; and what was your cost in 2013 for the maintenance so far has been including that $60 million I mean for the full-year?
Dan Lesnak: I don’t have those full-year numbers here. I don’t know if we ever got that precise, but like I said just directionally probably similar to ’12 and -- ’12 and ’13 were probably couple of a higher year’s over the last three or four.
Sal Tharani - Goldman Sachs: Okay. I have one more question before I’ll go back in the queue. Mario, you mentioned something in your prepared remarks that you’re positioning the Company to benefit from mini cycles. Can you elaborate what does that mean?
Mario Longhi: You’ve seen this business if you look back have cycles of six years, eight years and you’ve seen it has cycles of six months. So the design for flexibility that we’re putting in place takes into consideration that probably cycles of six months maybe the case, and we need to be able to look at those and figure out ways in which to be more flexible. That’s what I mean.
Operator: We’ll go next to the line of Evan Kurtz with Morgan Stanley.
Evan Kurtz - Morgan Stanley: Hi, good afternoon guys. Nice work on some big decision making over there. It's nice to see that you guys are really attacking cost. Actually I’ve got more of a short-term question now to start with; I was just wondering if you can kind of walk us through the guidance on the fourth quarter flat-rolled business. I wanted the big pieces, it kind of puzzles me a little bit as I know Lake Erie was offline for almost the last quarter, and I assume you had a good amount of startup cost hit in the third quarter and I would imagine that, that would actually sort of contribute the volumes and profits in the fourth quarter. So, could you walk us through some of the moving pieces to brief 3Q and 4Q?
Dan Lesnak: Well, Evan just I mean, we talked about a big maintenance cost differs. You really haven't seen much of maintenance cost for Lake Erie. It was down because it was a labor situation. So what we were actually -- actually we spend maintenance dollars and those carrying costs that we talk about tend to be fixed costs that are not being absorbed by product which you’re right now they will be. But I think the other thing is, when you talk about the other change we’re talking about some mix and things like that is, we because Lake Erie was down for four months, we had -- didn’t have the opportunity to sell as much steel as we could have in the third quarter. So, that was one of the reasons our volumes were down. There was demand out there; but we just didn’t have the steel to sell. As we go into the fourth quarter we're in a better position at least to start selling, taking those orders that we would have liked to have taken last quarter, but it is more hot-rolled. So, if you just on average realize prices or bring that price down but it's still good business that we would have taken last quarter if we had the ability and we will take it this quarter.
Mario Longhi: There is something else, Evan that we have commitments to our customers and we had to turn our whole planning affair around to deliver from many other locations product to the customers. And certainly that wasn’t the optimal way to operate. It was very complex. It required tremendous effort on the part of our teams, and now we’re beginning to move back into a more stable environment of operations.
Evan Kurtz - Morgan Stanley: Okay. Maybe one other on – you mentioned iron ore contracts, what were the size of those contracts that you're actually able to kind of unload at this point?
David B. Burritt: Each contract was generally in the range of about 1 million tons a year, give or take a little bit.
Evan Kurtz - Morgan Stanley: Great. Okay, I'll go back in the queue. Thanks, guys.
Mario Longhi: All right. Thanks, Evan.
Operator: We'll go next to the line of David Gagliano with Barclays.
David Gagliano - Barclays: Hi, thanks for taking my questions. I wanted to come back, obviously, to the detail that you provided on the initiatives underway currently. And also try and reconcile that with the 75 million figure that was mentioned. If I have my notes correct, I think you said permanently shutting down Hamilton would be 50 million. Dissolving the JV on the electro side would be another 20 million, which is almost 75 million there, taken together. But then you also obviously mentioned shutting down the two coke batteries at Gary Works and also obviously not renewing the iron ore purchase contract. What are the expected improvements associated with those two projects and what others am I missing in the tally?
Mario Longhi: Well, those coke batteries are very capital intensive. Every time you need to repair them and that was what is actually in front of us. If we were to keep them running we're going to have to invest quite a bit of money to repair them. And they are not as efficient as some of the other operations that we have. So really we're protecting capital expenditures in that regard, free capital for something else and certainly we're going to benefit from a level of efficiency by utilizing some of the more modern facilities that we have.
David B. Burritt: And then I think Dave, if you saw on the iron ore contracts, over the last few quarters we talked about a couple times having some iron ore sales out there. We never wanted to use all those pellets and really were kind of pass them through. And so there wasn't a lot of cost or revenue benefit to that, it was more of just keeping our inventories in line by taking market based pellets and selling them at market prices. So that's not a big dramatic change in a short period like that, but I think Mario has made a point on the coke battery side, it's much more of a improvement in our position going forward on where we have – where we need to spend money and where we can spend it productively and old coke batteries didn't make that list.
David Gagliano - Barclays: Okay. And then in terms of the timing, obviously there is some things that have to be cleared here on the Hamilton work side. But when should we really be expecting to see these cost improvements start to show up in the result? Is it as early as Q1 2014?
Mario Longhi: Yes, 2014 you should begin to see those come in.
David Gagliano - Barclays: Okay. Perfect. Thanks.
Mario Longhi: Sure, thank you.
Operator: Thanks. We'll go next to the line of Curt Woodworth with Nomura. Please go ahead.
Curtis Woodworth - Nomura Securities International, Inc.: Hi, good afternoon.
Mario Longhi: Hi, Curt.
Curtis Woodworth - Nomura Securities International, Inc.: With the effort to shut down the hot end at Hamilton and essentially some other things, would you be in a position in getting out some of these iron ore contracts to be more net long on iron ore and sell more third party and is that kind of the idea around DRI where that would be for third party sales?
Mario Longhi: Well, right now given current conditions, being capable of supplying our basic needs is already a good benefit and the nuances around that we still have some work to do.
Curtis Woodworth - Nomura Securities International, Inc.: Okay. And then on the coke side, would you have to go back into the merchant market for those coke needs?
Mario Longhi: We do not believe we'll need it, Curt. We should be sufficient in that regard.
Curtis Woodworth - Nomura Securities International, Inc.: Great. Thank you.
Mario Longhi: Sure.
Operator: We'll go next to the line of Timna Tanners at Bank of America Merrill Lynch.
Timna Tanners - Bank of America Merrill Lynch: Hi. Good afternoon.
Mario Longhi: Hi, Timna.
David B. Burritt: Hey, Timna.
Timna Tanners - Bank of America Merrill Lynch: Hi. On the DRI story it's something we've been hearing about for a while so it sounds like you're continuing down that path. But I was wondering have you done anything regarding natural gas supply or the permitting of the DRI itself, the capacity?
Mario Longhi: No, that's all still in the works.
Timna Tanners - Bank of America Merrill Lynch: Okay. And then I saw that you're relining Fairfield but we've been talking about Fairfield for years now, it's something that could potentially be converted maybe to an EAF or require a bigger reline down the road. Does this change that dynamic?
Mario Longhi: It is not a big reline, Timna.
Timna Tanners - Bank of America Merrill Lynch: Okay.
David B. Burritt: Yes, the reline to Gary. Fairfield is just a standard blast furnace maintenance project to extend the campaign. The big project is the Gary project. Fairfield is more of a standard kind of ongoing blast furnace maintenance type project for us.
Timna Tanners - Bank of America Merrill Lynch: So reline is still to come on Fairfield, that's still something that's still one of your decisions maybe as part of this broader project?
David B. Burritt: That would be something we'd have to cross that path at some point.
Mario Longhi: Yes, the big reline is a couple of years down the road still.
Timna Tanners - Bank of America Merrill Lynch: Okay. Thank you.
Mario Longhi: Sure.
Operator: Thank you. We'll go next to the line of Gordon Johnson with Axiom Capital Management.
Gordon Johnson - Axiom Capital Management: Thanks for taking my questions.
Mario Longhi: Thanks, Gordon.
David B. Burritt: Hi, Gordon.
Gordon Johnson - Axiom Capital Management: So I guess in addition to the cost saves that you guys have announced today, are there any other additional cost saves? And of the capacity that you're shutting down, can you maybe walk us through what the – I guess maybe fixed absorption costs are associated with shutting down that capacity?
David B. Burritt: I think really on the Hamilton capacity, that $50 million is really the cost, a chunk of that was vast depreciation. The rest of it is more cost that we will move away from here by not having to support that operation, so it's a $50 million to cost impact since about half is depreciation, the cash benefit is going to be $25 million.
Gordon Johnson - Axiom Capital Management: Okay. Thanks. And then lastly, have you guys seen – it seems like some of the cost or the price hikes that have been announced are not necessarily being accepted by the end market and looks like there's been a significant spike in some of the license for imports of HRC and other products into the U.S. Have you guys seen any near-term risk there and do you see that as a near-term potential hurdle?
Mario Longhi: In our case, we're in the middle of actual negotiations and if you look at the published prices, it certainly has taken hold; hot rolled being around 660 or so on the average and the futures do not show a lot of return to the holding. So I think that to a degree it's taken hold.
Gordon Johnson - Axiom Capital Management: All right. Thanks a lot, guys.
Mario Longhi: Sure.
Operator: We'll go next to the line of Brian Yu with Citi.
Brian Yu - Citigroup: Thanks. Good afternoon.
Mario Longhi: Hi, Brian.
Brian Yu - Citigroup: Mario and Dan, so if we look at your metallurgical coal cost for 2014, now last year you guys enjoyed a pretty substantial drop of 20%. When you look at where the seaborne price is for the fourth quarter, what do you think is a reasonable assumption for next year's met coal costs?
David B. Burritt: Brian, we're in kind of negotiation with the suppliers now. So we'd rather not get into that publicly. We think it is better if we can work with those guys just between us for now. And certainly as you'll come to expect from us, we'll get you an answer in January on how that transition looks year-to-year.
Brian Yu - Citigroup: Okay. My second question, a follow-up is and this goes back to Evan's question earlier on the FRP guidance. So if I look at your third quarter results, you guys did roughly $80 million in profit and if we back out the 60 million in additional repair and maintenance, so it gets us to about a 20 million type of number. Volumes are going to be up a little bit, pricing flat. So I deduce from that that you're going to see some higher cost in the 4Q. Is this because of like volume from Gary that's coming from Lake Eerie versus Gary Works, which is lower cost that's driving the higher costs?
Mario Longhi: I think you have it ballpark right.
Brian Yu - Citigroup: Okay. Thanks.
Mario Longhi: Sure.
Operator: Thank you. We'll go next to the line of Matt Murphy at UBS.
Matt Murphy - UBS: Hi. Just a question on your CapEx guidance of 530 million, before it was 710 million, are we seeing some of that CapEx slip into 2014 or is that some spend that's being eliminated?
David B. Burritt: Yes, Matt. I think we have some – we have a mixed bag there. There's some deferral. There is some that we actually had, opportunistically had better option to lease some things that we originally had in capital budget. And some of it is tightening it down and changing the scopes on the projects and being careful where we spend our money.
Mario Longhi: And some of it being more efficient the way that we're doing things too.
Matt Murphy - UBS: Got it. Okay. Thank you.
Mario Longhi: Sure.
Operator: Thank you. We'll go next to the line of Phil Gibbs with KeyBanc Capital Markets.
Phil Gibbs - KeyBanc Capital Markets: Hey, good afternoon.
Mario Longhi: How are you doing, Phil?
Phil Gibbs - KeyBanc Capital Markets: Doing well. How are you?
Mario Longhi: So far so good.
Phil Gibbs - KeyBanc Capital Markets: Good. I had a question on any costs associated with these strategic moves that you're making. Is there any one-time cash costs associated with any of the labor or the employment base of taking these strategic actions?
Mario Longhi: The only costs that we've come across are the ones that we've reported so far.
Phil Gibbs - KeyBanc Capital Markets: I just meant when you shutdown Hamilton or you take off a bit of the scope making capacity -- anything there that you would have to -- that you have to report?
Mario Longhi: One of the things in Hamilton is, well that facility had not been operating for a while. So our employee base we had basically resigned the union employees. So that headcount is something we already really addressed. And the same thing at Gary coke, that’s a pretty small operation in general. So I think we’re pretty lean employee wise and we’re going to try absorb as many as we can just some attrition will probably take care part of it.
Phil Gibbs - KeyBanc Capital Markets: Hey Dan, is this Cokonyx that you’re talking about?
Dan Lesnak: No. These are the old -- these are couple of the very old traditional byproducts battery Gary 1950 zero vintage and they’re really at the end of their useful life.
Phil Gibbs - KeyBanc Capital Markets: Okay. All right. My other question was largely on the prior gentleman’s question on the CapEx reduction, so I think you guys covered that pretty well. I appreciate it. Good luck.
Mario Longhi: Very good. Thank you. Thanks.
Operator: Thank you. We will go next to line of John Tumazos with John Tumazos Very Independent Research.
John Tumazos - John Tumazos Very Independent Research: Thank you for taking my call. My question involves process. How long will it take for you to review the eight locations for U.S. Steel, melt steel, the various offsite rolling mills, mines, infrastructure ancillary facilities then after you've gone through the whole system with the Carnegie analysis once how often will you repeat it -- exchange rates, wages all those things and raw materials, natural gas, electricity change from time-to-time?
Mario Longhi: This is a journey, John. And we just began it and that we should for the next foreseeable quarters be very intensely focusing on these analysis and just as we reported something to you today as soon as we validate the right course of action, we will be declaring that to everyone.
John Tumazos - John Tumazos Very Independent Research: Thank you.
Mario Longhi: Sure. Operator Thank you. We will go next to the line of David Lipschitz at CLSA.
David Lipschitz - CLSA: Good afternoon.
Mario Longhi: Hey, David.
David Lipschitz - CLSA: Tell me the -- hi, To beat a little bit of dead horse, can you tell us what the maintenance relative to second quarter was, how much was it down or up or whatever the case maybe?
Mario Longhi: I don't know if I have that one here with me. You are going back to my quarters on me.
David Lipschitz - CLSA: I know it was up in the second quarter like 30 million over the first quarter. What was it in third quarter versus second quarter like what was last quarter maintenance, was it down or up versus the quarter?
Mario Longhi: Last quarter we were up 45. 45 this year.
David Lipschitz - CLSA: And when you gave original guidance what was in that number? Was that what it was or was that higher because -- I mean your original guidance was breakeven so just wondering if you get sort of cost cutting and all type of stuff with the maintenance or was it actual -- it’s better operating results?
Dan Lesnak: It was a little lower than we have thought. So we picked -- we gained a little bit out of that, but I think we’re trying to pick up a little bit everywhere we can to help the bottom line and so that contributed, but really just in general across the plants so I think we did a little bit better.
David Lipschitz - CLSA: Okay. And so is that possible to happen in the fourth quarter as well or …?
Dan Lesnak: Well, I think we always encourage our guys to do better.
Mario Longhi: No question about it. They’re supposed to go after minimizing that.
David Lipschitz - CLSA: Okay. Thank you.
Mario Longhi: Sure.
Operator: Thank you. We will go next to line of Aldo Mazzaferro at Macquarie. Please go ahead.
Aldo Mazzaferro - Macquarie Equities Research: Hi, gentlemen. Can you hear me okay?
Mario Longhi: Yes, Aldo. How are you?
Aldo Mazzaferro - Macquarie Equities Research: Good, good. I’m doing fine. On the -- I just had a really simple question and I missed a couple of minutes to the front of the call. In your price realization in domestic flat-rolled in the third quarter, can you say how much that was affected by mixed changes as opposed to pricing in the market say versus the second quarter?
Dan Lesnak: We really didn't strip out mix because I mean mix is part of it. Contract versus spot is part of it, how things roll in on our different pricing structure as part of it. But certainly the higher spot prices as they flow through the whole chain were a piece of that and that varies mostly probably price more than mix at this point.
Aldo Mazzaferro - Macquarie Equities Research: Right. So the mix was a positive number rather than negative right?
Dan Lesnak: Yes it was, because we had a little bit less of the basic products since we had a little bit less steel so …
Aldo Mazzaferro - Macquarie Equities Research: Great. And then how about fourth quarter? I know you’re going to have the outage. Is that going to push the mix back down a little?
Dan Lesnak: We expect the fourth quarter will actually have a little more sales than we did and like I said the demand was there last quarter, we just couldn’t take advantage of it and we plan to take advantage of it this quarter.
Aldo Mazzaferro - Macquarie Equities Research: Okay.
Dan Lesnak: Last quarter we were affected by Lake Erie being out for an extended period lead into the quarter. This quarter we had little bit of better supply situation.
Aldo Mazzaferro - Macquarie Equities Research: So you think mix about the same then?
Dan Lesnak: No, we should probably -- we have a little bit more hot-rolled into the mix because like said those orders we couldn't take last quarter that we are going to be able to take this quarter.
Aldo Mazzaferro - Macquarie Equities Research: I’m sorry, okay. And then -- hey Mario can I ask one kind of overriding question on the project Carnegie? I know it’s many faceted things, but is there anything that you are excluding, I mean even from the point of saying outsourcing in a major way I see you are going to change your slab flow at Hamilton and you are going to change your coke flow, and I’m wondering if you are thinking about those kind of things that all the operations in terms of outsourcing logistics and outsourcing maintenance or things like that, is there a big picture there that you could talk about?
Mario Longhi: Well, we look at everything Aldo, but there is one particular approach that is quite interesting. Actually many of our people inside of our plants have plenty of capability to take on some additional work in a much more efficient way. So like I said, it’s been our lives from all angles, but there is quite a capability that we’re looking at internally that we should be able to tap more for more value.
Aldo Mazzaferro - Macquarie Equities Research: Very interesting. Thanks. Thanks very much.
Mario Longhi: Sure. Thanks, Aldo.
Operator: Thank you. We will go next to line of Nick (indiscernible) with Royal Bank of Canada. Please go ahead.
Unidentified Analyst: Hi. Question on Hamilton, is there any expected working capital benefit from the shuttering there?
Dan Lesnak: There is really not Nick, because we had not been operating that steel shop for a while so that really didn’t change the balance force. The benefits there are really the immediate -- the benefits are getting away from the carrying costs more than anything else.
Unidentified Analyst: Great. Thanks.
Operator: Thank you. We will go next to the line of Sal Tharani with Goldman Sachs.
Sal Tharani - Goldman Sachs & Co.: Thank you. Hey, Mario, can you -- I want to ask a question on DRI again. You mentioned that you can use more DRI in your existing furnaces, improving efficiency. I know DRI costs more. So the first thing I want to understand is that, is DRI -- a portion of DRI can be replaced, or a portion of the pallet can be replaced with DRI with better cost efficiency. And second thing, if that’s not correct, then is DRI and the future EAF project are mutually exclusive or they go hand in hand, it means you won’t do DRI unless you go within EAF in future?
Mario Longhi: Well, actually the answer to the first question is yes, we can make DRI and if we can then we would look more integrating it with an EAF operation. Now, they can be mutually exclusive, they’re not necessarily -- they don’t have to be linked to record. So we’ve options there that we are looking at.
Sal Tharani - Goldman Sachs & Co.: Okay, great. Thank you.
Mario Longhi: Sure.
Operator: Thank you. We have time for one more question and that will be from the line of David Gagliano with Barclays.
David Gagliano - Barclays Capital: I just wanted to ask a quick follow-up. I wanted to clarify one thing. The $75 million target or figure that was mentioned earlier, how much of that is non-cash?
Dan Lesnak: About the 25 that’s really -- about 25 is depreciation in Hamilton, rest of it is cash.
David Gagliano - Barclays Capital: Okay. All right. Thanks.
Mario Longhi: Sure.
Dan Lesnak: All right.
Mario Longhi: Okay. So I guess we’re coming to the end of this call and -- but before I sign off, I’d like to acknowledge our employees for their hard work and dedication because transformation can be difficult and stressful, but ultimately very rewarding and we are truly appreciative of their commitment to our successful future. Our outstanding safety performance is a real example of what our people can achieve. And that same focus and cooperation is a foundation we can build on and we can earn our right to grow.
Dan Lesnak: Thanks Mario. And I’d like to thank everybody that was on the call with us today for your continued interest and support to U.S. Steel and we look forward to talking with you again in January. Thank you.
Operator: Thank you. And ladies and gentlemen this conference will be available for replay after 05:30 PM Eastern Time today running through November 13th at midnight. You may access the AT&T teleconference replay system at any time by dialing 320-365-3844, and entering the access code of 304948. Those numbers again are 320-365-3844, with the access code of 304948. That does conclude your conference for today. Thank you for your participation and for using the AT&T executive teleconference service. You may now disconnect.